Operator: Good morning, everyone and welcome to Vodacom's FY 2024 Annual Results and Strategy Update. It also happens to be our 30th anniversary this year and hence the lovely video we introed with. We're going to have a presentation now from Shameel and Raisibe and then we will join you on stage for Q&A. Enjoy.
Shameel Joosub: Welcome to our strategy update and annual results highlights for the year ended 31st of March 2024. Vodacom is celebrating our 30th anniversary and as I reflect on our past journeys over the past three decades, I am filled with a profound sense of gratitude to have been part of the Vodacom growth journey. From our humble beginnings in South Africa, providing network connectivity for calls and SMSs, we now reach more than 200 million customers across eight countries through innovative digital and financial services with the power to change lives. While I reflect proudly on the milestones we have achieved, it is our ongoing purpose to connect for a better future and drive inclusion that fuels my passion to lead this company. This year, we simplified and evolved our purpose to focus on empowering people and protecting the planet. This is underpinned by our commitment to maintain trust in anything we do. This evolution from our previous three-pillar-purpose approach reflects the importance of creating a digital society that is inclusive and sustainable. With connectivity at our core and supported by innovative new rural funding partnerships, we remain committed to closing the digital divide. This year, we rolled out an additional 2,300 4G base stations across our markets. 4G sites across our international businesses were up 21%. To empower people, we actively explore new ways to increase smartphone penetration and data connectivity services to promote digital inclusion. Our groundbreaking prepaid device financing bundles are being piloted across our markets. We believe this model can help close the digital gap for the 90 million customers in our base without a smartphone. Our Tech for Good platforms diversify our revenues and drive societal benefit. We actively contribute to creating a digital society by developing solutions across critical verticals, including education, healthcare and agriculture. In Egypt, we partnership with the government to digitize the country's health care system, which has more than 300 hospitals and serves more than 6 million people across Egypt. Agricultural productivity is vital for Africa's economic future. We partner with our businesses Mezzanine, M-Pesa and IoT.next to enhance productivity through the efficient distribution of inputs, access to insurance and funding, connecting farmers with buyers and facilitating payments and subsidies. Mezzanine's Evuna, My FarmWeb and e-vouchering solutions reach over 6 million beneficiaries. In Tanzania, the Mkulima Agricultural platform, which is integrated with M-Pesa, with over 3 million registered farmers. Beyond our efforts to close the digital divide and drive financial inclusion, we aim to positively impact communities in the areas in which we operate, focusing on youth, the underserved, marginalized people, and victims of natural disasters. We continue to scale our Code Like a Girl program to promote women empowerment through technological inclusion, reaching 16,000 young women in Africa. In the DRC, our I Am Capable program has trained 1,450 women living with a disability to become M-Pesa agents. We also continue to partner with governments to support a technology-based affordable emergency system known as m-mama in partnership with the Vodafone Foundation, which is now expanding beyond Tanzania. We navigate adversities with resilience and adaptability, reimagining problems to create inclusive opportunities. Energy is the prime example of this mindset. Our virtual wheeling deal is a blueprint for other South African corporates to accelerate the country's energy transition. Significantly, we have also committed to net zero for our own operations by 2035. Pleasingly, our progress on ESG was again recognized by leading rating agencies in this past financial year. We retained our ESG leader AAA rating from MSCI. We were also proudly recognized for leadership in addressing climate change and we were awarded an A rating in the latest CDPE climate change assessment. As I reflect on our 30 years as Vodacom, each phase of our growth journey has been remarkable. As part of Vision 2020, the group's primary focus was anchored on reinforcing our commitment to purpose in building our core. Vision 2020 initiated our digital transformation journey, including CVM and Big Data, as well as revenue diversification through the growth of financial services, IOT and cloud services. During this phase, the group reached 116 million customers and generated ZAR91 billion in revenue. South Africa contributed the bulk of the group's operating profit at 71%, while our international businesses and Safaricom contributed 17%, 12%, respectively. Our Vision 2025, powered by our strategy the System of Advantage, placed a continued emphasis on expanding our footprint across Africa through the acquisitions of Vodafone Egypt and our investment into Safaricom, Ethiopia. This has since evolved into a focus on healthy markets where leadership and pricing are top of mind. We also diversified and scaled new services, especially financial services, while investing significantly in world-class big data technologies to enable a deeper understanding of our customers. With a year left in our current strategic cycle, our group revenue has surpassed ZAR150 billion. Our customer base is evenly split across our geographic segment showcasing the breadth of our footprint, which covers more than 0.5 billion people across the continent. Our beyond mobile or new services, which include digital and financial, fixed and IoT, contributes 20% of group service revenue as we also advanced our product diversification. Our scale in financial services is evident by the 11.8% increase in financial service customers to 79 million. And we now process more than $1.1 billion of transactions value [indiscernible]. These outcomes were delivered through a period characterized by economic volatility. This year, we faced heightened geopolitical tensions, supply chain disruptions, high inflation and interest rates, energy uncertainty and foreign exchange rate pressures, including a 40% devaluation of the Egyptian pound. These factors have taken a toll on our bottom line in the current year, but not on our strategic ambitions. As we look into the next phase of our strategy, we will focus on sustained growth by amplifying our commitment to purpose in customers, strengthening the fundamentals, innovating for growth as we continue to scale our new services beyond mobile, and embracing digital transformation. Core to this outlook will be accelerating mobile and fixed connectivity, scaling, handset financing and deepening digital and financial inclusion in all our markets. We also intend to expand our partnerships to power our growth, increase rural and fiber connectivity and expand the reach of our Tech for Good platforms. As we execute in the next phase of our strategy, we see continued growth of our connectivity and financial service customers. We expect to exceed 230 million customers and 100 million financial service customers by FY 2027. This customer growth provides the foundation of our upgraded high single digit service revenue growth target. This slide captures the geographical diversification of our economy. We are the market leader across our footprint, with the exception of our start-up operation in Ethiopia. This is an important differentiator and supports an attractive return on capital, while also providing us with a unique opportunity to drive digital and financial inclusion. With smartphone penetration below 60%, and our financial service customers nearing 80 million, we have a clear path to drive inclusion and long-term growth. Another key differentiator for our group is our asset-rich portfolio. We are one of the few multi-country operators in Africa that owns the vast majority of its towers and mobile infrastructure. Among other benefits, owning our towers helps us to localize our operating costs. The Vodafone Egypt acquisition was key to us, advancing our strategic ambitions and enhancing our growth profile. The asset has delivered ahead of our business plan with its attractive returns on capital, employment and profitability underpinned by its market leadership position and investment focus regulation. We've also dialed up the strategic focus on financial services, and this is evident in how quickly [VodoCash] (ph) is scaling. We see financial services as a long-term growth lever for this asset, given our ability to scale group products and services into Egypt to capture a massively addressable market opportunity. While Vodafone Egypt presents significant opportunities for the group, it also comes with a foreign exchange rate risk. We took a sizable P&L knock in the fourth quarter as a result of the devaluation. We were ever able to implement timely price ups to mitigate the impact into FY 2025. In addition, the recent macro reforms in Egypt have materially improved foreign exchange liquidity and we repatriated cash to South Africa in March. Switching to Ethiopia, we see this investment as a long-term growth vector for Safaricom and the Vodacom Group. In the year we have made important progress in scaling this green field rollout. We reached 2,800 towers, setting the pace for tower infrastructure build in Africa. As was showcased at the February Investor Day in Addis Ababa, our plan is to build more than 4,000 sites over the medium term. The launch of M-Pesa will also help us scale this investment. We reached 600,000 M-Pesa customers in our first year and will leverage our fintech toolbox to build a formidable business in the market. Our role as a new entity in Ethiopia is a key variable to manage going forward. As we invest into the country, we are working with regulators to create a dynamic market for digital and financial inclusion. The regulators' recent decision on significant market power and mobile termination rates were supportive steps for creating a multi two player market. Alongside our geographic diversification, we have also made significant progress in diversifying our product revenue mix. Connectivity is at the core of Vodacom. Whether it be from space, on land or through the airwaves, we want to connect people for a better future. Prepaid voice is one of the Vodacom's lasting innovations from the 1990s and makes up 19.6% of our SaaS revenue. In our business plans, we expect prepaid voice to remain an important contributor to the group, and we will manage its decline over the medium term. Within prepaid voice, Egypt makes up 16.3% and has scope to grow. To deliver on our high single-digit growth target, our other product segments are well positioned for growth. Prepaid data makes up close to 30% of service revenue and we are excited about the segments growth prospects. We intend to complement the structural growth in data traffic demand with network coverage, increased smartphone penetration, and increased data monetization. Our smartphone strategy has several elements to drive inclusion. It combines local SME with groundbreaking new prepaid handset financing models that we have piloted across several markets. This model creates an opportunity for daily repayment option. If a customer is unable to pay, the device is locked until payment is received, much like a call box from the 1990s. Our contract revenue base is predominantly from South Africa. While all our customers demand a best-in-class experience, this is a non-negotiable focus area for our contract customers. Our value proposition is also critical to our pricing power, with loyalty and content providing further scope to differentiate. Shifting to our fastest growing product segment, our new services. In the fiber space, we are working on co-investment models to accelerate rollouts across our international markets. In South Africa, the massive transaction will be heard by the Competition Tribunal from the 20th of May, and we look forward to showcasing the strong public interest and pro-competitive advantages of the proposed deal. In the financial services space, we have built a formidable business across our existing markets with products that cut across consumers and merchants. Vodacom's success in this segment is a function of strategic focus. In the next slide, I will talk through our roadmap for financial services, which we believe will see this revenue compound and a healthy growth rate. Pulling together our mobility and new services offerings, we partner with businesses to accelerate their growth and with governments to drive efficiencies for them. We are transforming the ways of working through digital technology in high-growth areas like cloud, hosting, managed security, managed services and IoT. A key focus area for us in the business segment is SMEs, which are prevalent across all our markets. This slide sets out our growth roadmap for financial services and how we leverage our dual-sided ecosystem to deliver exceptional and personalized experiences to consumers and merchants. Vodacom Financial Services, M-Pesa and Vodafone Cash have already made a meaningful contribution to financial inclusion across our footprint. Once financially included, we provide customers with an ecosystem that deepens their access to financial services with products like international remittances, global payments, bill payments, saving products, lending and insurance. In Tanzania, more than half of our M-Pesa revenue is already from services beyond peer-to-peer and cash out. Looking ahead, the next step in our roadmap is unlocking economic growth through financial services. This is something I'm passionate about. We want to partner with like-minded companies to create a savings culture for consumers, through wealth products and an environment for SMEs to thrive. This is where our super apps play a critical role. They create an open platform where we can integrate our own products with thousands of external service providers. It removes the barriers of physical limitations for both consumers and merchants, which can then help them to expand well beyond their geographical boundaries. And put simply, at the transactions compound, we take our cut, a bit like an iOS or Google Play Store. As we execute on this roadmap, we expect to meaningfully scale our financial services customer base and revenue. Across our consolidated markets, we target around 20% compounded annual growth to FY 2027, supporting the group's earnings profile. We are making good progress on our dual-sided financial services strategy. On the merchant side, our M-Pesa base surpassed the 1 million merchants in the year, up 28%. This growth helps expand our addressable commission pool beyond peer-to-peer payments and withdrawals into both online and offline commerce. In South Africa, our merchant acquiring business is also growing quickly with over 10,000 merchants. We recently launched our tap and phone application that allows merchants within any Android device to accept card payments without having to invest in a dedicated processing device. We expect this will support our merchant acquiring business, particularly in the small enterprise segment. Our super apps are scaling nicely across the group with almost 5 million M-Pesa users adopting this channel. Importantly, we are seeing consistently higher M-Pesa ARPU from these super app users. In Egypt, Vodafone Cash is the go-to mobile wallet in the country, with customers up an impressive 52% to 8.2 million. Our One App strategy in Egypt means that there is a clear path to convert our 15 million monthly users on the Ana Vodafone app into Vodafone Cash users. In South Africa, our super app VodaPay reached over 10 million downloads. Leveraging Egypt's One App success, we merged our telecom app [My Vodacom] (ph) into VodaPay during the year. The purchase of airtime is an important toothbrush for everyday use case for VodaPay that is supporting good growth in transacting users. It is also worth mentioning the success of our insurance business in South Africa with revenues growing at 13.8% in the year. As we diversify into new growth vectors beyond peer-to-peer payments, our financial service product suite continues to broaden, with global payments, e-commerce payments, lending, insurance and savings. Across our international businesses, more than 70% of M-Pesa revenue growth in the year was from these new financial services. That's an impressive stat. Across working relationship of South Africa, Egypt and our M-Pesa Africa hub means that we have a clear roadmap for growth across our markets. Turning to the Group's financial results. This year was characterized by a strong commercial momentum despite several economic headwinds, including higher interest rates and foreign exchange pressures. Group revenue grew 26.4% to ZAR150.6 billion, positively impacted by the acquisition of Vodafone Egypt. On a pro-forma basis, which is comparable with our medium-term targets and includes Egypt in the base, the revenue growth was 10.1%. This is the highest rate of constant currency growth in many years. Group service revenue grew 29.1% to almost a ZAR121 billion. Pro former growth was 9.2% at the higher end of our medium-term range. This reflects strong customer growth, accelerating trends in Egypt, and a good growth in new services. As I mentioned earlier, customer growth was strong at 203 million customers and were up 9.3%. Financial service customers were up 11.8% to 79 million and we now process an impressive $1.1 billion in daily transaction value. Our new services amounted to ZAR24.2 billion in the year and contributed 20% of group service revenue, up from ZAR18.7 billion in the prior year. The growth in new services was driven by financial services. On a pro-forma basis, group EBITDA grew by 7.8%, accelerating to an in-hour target range of high single-digit growth in the second half. Egypt with EBITDA growth of 32.8%, including the devaluation impact, was the key driver of the group result. South Africa's EBITDA grew modestly at 0.7%, impacted by subdued prepaid growth, wholesale revenue pressures and higher network costs. International business EBITDA growth was 8.2% on the reported basis, as excellent results in Tanzania and DRC were offset by pressures in Mozambique. We remain committed to spending within our capital intensity framework of 13% to 14.5% of revenue. This level of investment is directed at enhancing customer experience through sustained investments in technology and network infrastructure. We invested ZAR20.4 billion this year, which equates to 13.6% capital intensity, as we accelerated investment into network performance to retain our network leadership positions. Headline earnings per share on the other hand declined 10.8% to 846 cents per share. This result did not reflect our strong commercial momentum which was disappointing. Earnings were impacted by the macroeconomic cycle with higher interest rates and foreign exchange losses diluting the result by 150 cents per share. Raisibe will unpack these impacts on earnings in more detail in her presentation. Separately, the board declared a final dividend of 285 cents per share, which reflects our dividend policy of at least 75% of headline earnings. This implies a total dividend of 590 cents per share this year. Unpacking the group performance by geography, we delivered revenue growth across each of our segments. South Africa's service revenue grew at 2.6%. This is below our ambition of mid-single-digit growth as wholesale headwinds were compounded by a tough comparison for prepaid. Our international business reported service revenue growth of 13.1%, while Egypt's local currency growth was 31.6%. Safaricom had an outstanding year, it’s reported service revenue growth of 13.4% in Kenyan shillings, driven by double-digit growth in Kenya. Group operating profit increased 20.8% or 5.9% on a pro-forma basis to ZAR35.3 billion. Safaricom's contribution to group operating profit was ZAR2.7 billion, not far off from the ZAR2.8 billion from last year. This was an encouraging result as Kenya's stellar performance offset expected Ethiopian losses. In South Africa, operating profit declined 3.6% as a result of higher depreciation and amortization of the new spectrum. Operating profit trend in our international business reflected the amortization of new spectrum, but also the startup losses for our direct stake in Ethiopia, which amounts to 5.7%. A look at our group-customer split shows that we have diversified into four similarly-sized segments. Of our 203 million customers, 75% are now outside South Africa. Shifting to our product lens, this slide sets out the contribution of our high growth new services to each of our geographical segments. We target a new service revenue contribution of 25% to 30% of group service revenue over the medium term, including Vodafone Egypt. In South Africa, 16.6% of service revenue is now attributable to new services, up from 15.3% in the prior year. Vodafone Egypt's new service contribution is scaling quickly. In addition to the 6.5% weighting from Vodafone Cash, digital and fixed services are also meaningful contributors to Egypt's 15.6% from new services. Across our international business, the contribution from new services exceeded 30% for the first time, while Safaricom sets the benchmark at 46.5%. We intend to scale each of these new revenue streams into successful businesses. As a group, including Safaricom, we have 79 million financial service customers. While this is a very impressive number on a standalone basis, the scope for growth remains very material with penetration of our base at less than 40%. The scale of our financial service business is best reflected in the transactional value and volumes processed transactions through our mobile platforms. We processed more than $100 billion in the quarter, so annualizing at a rate of $400 billion. Our transaction volume of 33.7 billion means that we do almost 100 million transactions every day. Our financial service revenue from our consolidated entities reached ZAR13 billion, up 20% on a pro-forma basis, with an additional ZAR18 billion rand generated by Safaricom. This implies a combined fintech footprint of ZAR31 billion, or $1.6 billion. In South Africa, service revenue generated from financial services grew 7.9% to ZAR3.2 billion. The revenue growth was underpinned by our insurance payments in lending businesses. Our international business delivered M-Pesa revenue of ZAR7.9 billion in the year, up 21.4%. Looking at the contribution of financial services to the group, the weighting increased to 11% in the year. At Safaricom, which is an associate, the contribution increased again around 42%. Then looking at the contribution to profit before tax, which includes Safaricom, the weighting is around 20%. This bottom line contribution of financial services means that the Vodacom investment case offers something quite different to a typical emerging market telco. Turning now to our four segments. Revenue for South Africa reached ZAR88.3 billion, a 4.2% with equipment revenue outpacing service revenue. Service revenue grew 2.6% to ZAR61.6 billion and was driven by new services. Our consumer contract segment and prepaid mobile data also contributed to the growth. Prepaid service revenue increased 1.7% as we leveraged our customer value management capabilities to contain pressures on voice revenue, while driving higher customer engagement and revenue in the data segment. Prepaid data revenue growth was 11.6% for the year. Into FY 2025, we are implementing price adjustments on a more-for-more basis to improve the outlook for prepaid. Mobile contract customer revenue increased by 3.9% to ZAR23.5 billion, supported by customer growth and price adjustments. Our data matrix reflected the structural growth appetite for the service. Data traffic increased 36.2%, while we added more than 3 million data customers to reach 28.8 million, up 12.8%. Smart devices were up 8.4% to 31.8 million. New services were up 11.2% and contributed ZAR10.2 billion, or 16.6% of South Africa's service revenue. Managed alongside financial services, our digital service portfolio had a strong year, up 13.6% to ZAR1.6 billion. Vodacom Business, service revenue declined by 0.8% to ZAR17.3 billion, impacted by a decline in wholesale revenue and pressure associated with return to office. While we expect pressure on wholesale to persist in the near term [indiscernible] drivers such as IoT, Fiber, Cloud, Hosting and Security provide us with comfort in the outlook for Vodacom Business. EBITDA grew modestly for the year at 0.7%. In addition to the pressure in prepaid and wholesale, we faced higher technology costs associated with a [19%] (ph) increase in the price of electricity, grid availability challenges and security. Vodafone Egypt delivered service revenue growth of ZAR30.2 billion in the year with the growth rates presented on a pro-forma basis. In the fourth quarter, service revenue growth accelerated to 40.5% in local currency. This was well above inflation and was supported by strong customer engagement, mobile and fixed price adjustments and an excellent growth in Vodafone Cash. Data matrix was strong and supported by network investment. Data traffic was up 41.8% with data customers increasing 10.9% to 29.1 million. Smartphones in the network were up 7% to 33.1 million. Vodafone Cash revenue more than doubled in local currency. The outlook for this business is really exciting, particularly as we leverage the group's product roadmap over the medium term. Reported EBITDA was ZAR13.1 billion, accounting for 23.3% of the group. The result was impacted by a 40% currency devaluation in the fourth quarter. Excluding this impact, EBITDA would have been ZAR14.5 billion and up almost 40% in local currency. This trend reflects excellent cost control in a high inflation environment and growth in Vodafone Cash, including fee income on deposits. Net income growth in local currency was excellent at 53.7%, with the foreign exchange pressure offset by lower growth and depreciation and higher net finance income. This level of net income growth meant that even in hard currency terms, the business grew in FY 2024, despite the devaluation in March. In Euros, Vodafone Egypt net income was 6% higher than the full year FY 2023. Service revenue for our international businesses increased 13.1% to ZAR29.9 billion, supported by data and M-Pesa. From a market perspective, we delivered strong double-digit local currency growth in Tanzania, while DRC service revenue growth improved in the second half. Mozambique's performance was disappointing with service revenue declining in the year. However, recent regulatory reforms implementing price flaws that went live in early May should meaningfully improve the market's prospects going forward. In the international portfolio, we added 3.9 million customers to reach 54.1 million, up 7.7%, supporting strong commercial execution. Data revenue was up 30.5% to ZAR8 billion on a reported basis, and 21.9% on a normalized basis. Data revenue was supported by strong customer matrix as data customers reached 24.2 million, up 7.5%. Data traffic across the portfolio was up 44% and was supported by 14.4% smartphone user growth to reach a penetration of 35.2% across our portfolio. Looking ahead, our new daily repayment model for smartphone financing can meaningfully improve this penetration rate. We are already piloting this financing model across all our markets and expect to commercially launch it in FY 2025. M-Pesa revenue was up 21.4% to ZAR7.9 billion, contributing 26.5% of international service revenue. Growth was supported by strong performances in the DRC, [indiscernible] and Tanzania. New growth areas such as lending and savings products continued to gain traction across the portfolio, contributing more than 70% of the growth. International EBITDA was ZAR11 billion and grew by 8.2%, reflecting foreign exchange translation tailwinds. EBITDA margins were 35.6% and 1.7 percentage points lower than the prior year. The margin outcome reflects a change in the country mix within the segment with Tanzania EBITDA growth outpacing the other markets with growth of 19.7%. DRC delivered good US dollar growth of 6.9%, while Mozambique weighed on the segment's performance, with EBITDA down 22% in local currency. Safaricom delivered an excellent performance in Kenya and reported that Ethiopia delivered on important milestones in its first full financial year since launch. Service revenue increased 13.4% with Kenya delivering growth of 11.7% above its multi-year trend. EBITDA was up 16.8%, supported by Kenya which reported stellar growth of 16.6%. Kenyan EBITDA margins improved 2.8% to a best-in-class 54.7%. Supported by strong EBITDA results, Safaricom delivered ahead of its EBIT guidance for both group and Kenya. Safaricom's net profit attributable to equity shareholders was up 1.2% in the year. This is a noteworthy result in itself given that Ethiopia's EBITDA losses were guided to have peaked in the year. A key driver of the impressive Kenyan result was M-Pesa, where revenue growth was an impressive 19.4% of a very large base. Aligned to our financial services product roadmap, Safaricom launched Mali during the year, our first wealth product in the market. Creating a savings culture through simple and rewarding wealth products will be a key enabler of growth for the continent. Kenyan mobile data revenue grew 18%, also accelerating from the prior year. The growth was supported by the adoption of integrated bundles associated with Safaricom's Make Your Own Bundle campaign, which allows customers to select a preferred price point, validity and mix of data and voice. The fixed result in Kenya was also strong and Fiber to the Home customers grew 27% and homes passed exceeded 560,000. Safaricom is on track to pass 1 million homes over the median tar, confirming the consumer appetite for fibre across our footprint. Looking ahead, Safaricom's EBIT guidance for FY 2025 suggests another strong year for Kenya, while Ethiopia continues to scale up its operations.
Raisibe Morathi: In this video, I will unpack our results for the year ended 31st March 2024. My opening slide sets out our key highlights for the year. We delivered excellent revenue growth supported by second half acceleration. This momentum has resulted in us upgrading our medium term service revenue guidance, but more on that later. Egypt and our new services were the key drivers of revenue growth as we surpassed the ZAR150 billion revenue milestone. ROCE increased to 23.1% as we sustained a track record of high returns and strong free cash flow. The group EBITDA margin was 37.3% for the year, a modest increase year-on-year as we faced steep energy cost inflation across our footprint. Our balance sheet remains in a healthy position with leverage improving year-on-year as we limit our exposure to foreign currency debt. From this position of strength, we were able to deliver on our committed dividend payout ratio. Moving to our income statement, we have set out reported growth as well as pro-forma growth to help provide better insights into our underlying trends. Pro-forma growth provides a trend of the business in constant currency, assuming Vodafone Egypt has been acquired on the 1st of April 2022. This is comparable with our medium-term targets. On a pro-forma basis, service revenue increased by an impressive 9.2% supported by excellent growth in Egypt. Group EBITDA grew within our target range at 7.8%. Reported EBITDA reached ZAR56 billion, despite a ZAR1.4 billion foreign exchange headwind, which arose from devaluation in Egypt. The net profit from associate and joint ventures of ZAR2.2 billion declined 15.3% on a reported basis as it was impacted by startup losses from our new business in Ethiopia and foreign exchange headwinds. Headline earnings per share declined 10.8% to 846 cents per share. The decline, which I will unpack later in my slides, was attributable to foreign exchange losses, startup losses in Ethiopia, higher finance costs, whilst in the prior year, we had a different tax asset recognized in Tanzania. As set out on the previous slide, pro-forma service revenue growth was 9.2% in this financial year. This was consistent across most quarters of the year. South Africa reported a muted growth of 0.7% in the fourth quarter, impacted by a tough prepaid comparison and pressure in our wholesale business. We reported service revenue for our international business of 9.1% growth in the fourth quarter, with strong growth in data and M-Pesa and foreign exchange translation headwinds. The normalized growth rate of 5.4% was impacted by a tougher quarter in Mozambique. Egypt delivered local currency growth of 40.1%, well above inflation. The acceleration was supported by strong customer engagement, mobile and fixed price adjustments, and excellent growth in Vodafone Cash. In this slide, we provide more context around our group EBITDA growth. On a reported basis, group EBITDA increased 24.3% to ZAR56.1 billion, representing an EBITDA margin of 37.3%. The material component of this growth was the Egypt transaction, which was consolidated from December 2022. We adjust for this impact in FY 2023 pro forma EBITDA base of ZAR53.5 billion, as reflected on the left of the slide. On a pro forma basis, we grew EBITDA 7.8% to ZAR57.7 billion. The key drivers of growth was Egypt, while South Africa and international contributed modestly. On this basis, the group EBITDA margin was 38.3%. Our reported EBITDA in FY 2024 was impacted by material foreign exchange losses that amounted to ZAR1.6 billion. Egypt's recent devaluation in March was the driver for this loss and reflects the market to market of hard currency payables such as CapEx [indiscernible]. Underlying EBITDA margin in Egypt at 44.5% was robust, particularly given inflationary pressures in the market. This slide provides a bridge from EBITDA growth of 24.3% to net profit growth of 6.4%. From EBITDA, higher depreciation and amortization, as well as the startup cost in Ethiopia, and this cost offset the underlying growth in Safaricom, which is our associate. Higher depreciation and amortization in South Africa was as a result of our investment into batteries, which are depreciated over a shorter time frame than most other network equipment. Below the operating profit line, higher finance costs weighed on net income. The higher finance costs were as a result of an increase in interest rates, the new debt to fund Vodafone Egypt deal, as well as the spectrum transactions. I will unpack the net debt movement in the upcoming slides. As mentioned in the overview, headline earnings per share declined 10.8% to 846 cents per share. The decline was attributable to foreign exchange losses of 56 cents per share, startup losses in Ethiopia of 21 cents per share, and higher finance costs when prior year deferred tax assets recognized in Tanzania. On a constant currency basis, Egypt added 84 cents per share. This is after accounting for its funding costs and the new group shares issued. The impact of the Egyptian pound devaluation is captured in the 56 cents impact from the foreign exchange losses. We're disappointed by the headline earnings per share result in the current year, but note that it does capture several material headwinds related with this precarious economic cycle. Shifting to free cash flow, we generated operating free cash flow of ZAR30.3 billion, up 20.7%, having invested ZAR20.4 billion into CapEx, a further ZAR6.2 billion applied to lease payments and ZAR200 million absorbed in working capital. CapEx increased 23.8% with inclusion of Egypt. Our group free cash flow, which captures our cash interest, tax, minority dividends, was ZAR18.2 billion and declined 1.7%. Pleasingly, the dividend declared by Egypt to the group in the first half of the current financial year was repatriated to South Africa in March 2024. The group free cash flow result was impacted by the phasing of Safaricom dividends, which positively impacted the prior year free cash flow by ZAR1 billion. Adjusting for the phasing impact, group free cash flow grew a respectable 4%. In the second half of the year, we generated ZAR18.4 billion in free cash flow as per previous cycles where the cash flow is stronger than in the first half. This phasing of free cash flow into the second half is expected to repeat in the financial year 2025. The chart also confirms a multi-year track record of strong free cash flow generation. Given the extent of macro pressures we have faced in recent years, including in the financial year 2024, this is a pleasing outcome and showcases the resilience of our business. In the chart on the right, we capture our ROCE track record, which provides a similar perspective to free cash flow, illustrating consistent and healthy returns. Positively, we've also seen a tick-up in ROCE this year, supported by Egypt. Following the acquisition of Vodafone Egypt in the previous financial year, the dividend policy was set at least a minimum of 75% of Vodacom Group's headline earnings. With this level of payout, Vodacom offers one of the highest dividend payouts. Aligned to this policy, for this period, the board has declared a final dividend of 285 cents per share. This brings the full year's dividend to 590 cents per share, equating to ZAR12.2 billion in cash paid. We finished the year with net debt of just under ZAR50 billion, modestly higher than the prior year as a result of the spectrum payments of ZAR3.4 billion in the year, which included the final ZAR2.2 billion change in South Africa. Pleasingly, our key leverage ratio, net debt to EBITDA, improved from 1.1 times to 0.9 times. The increase in net debt was more than offset by higher group EBITDA in the year. Looking ahead to the financial year, our proposed massive deal in South Africa is a key consideration. If this deal proceeds as we hope it will, it is expected to modestly increase our net debt to EBITDA. Looking at the composition of our borrowings, 90% of our financial debt is rent-based. This high weighting on the rent debt is deliberate and helps limit our exposure to foreign exchange risk. From an interest rate perspective, our financial debt is almost 80% floating rate or closer to 60% when [indiscernible] included. The debt mix provides us with an opportunity to benefit from stabilizing and even falling interest rate expectations when the cycle turns. From a position of balance sheet strength, we are well positioned to accelerate our growth. A key growth driver for us over the medium term is our new services. This new services encompass digital and financial services, fixed and IoT, and are key to our diversifying our revenue portfolio and improving our customer proposition. On a consolidated basis with South Africa, Egypt, and international business in scope, we saw our new services revenue contribution increasing from 19.3% to 20% in this year. Looking ahead, our ambition is to increase this to around 25% to 30% in the medium term. The largest weighting within our new services is our financial services portfolio. We see this scaling to a meeting contribution to group service revenue as we deepen financial inclusion across our markets. In this slide, we set out our capital allocation priorities. Our first priority is investment into organic growth, which includes our core connectivity business and new growth areas. This investment is supported by our big data capabilities, which help us generate the best returns for each rand invested. Our dividend policy means that we do not need to compromise on our organic investment. With a payout of 75% of headline earnings, we are left with room to fund our CapEx intensity framework and also de-lever our balance sheet in due course. In my concluding slide, I set out the medium-term targets. Building on the strong momentum of the current financial year, we upgrade our service revenue target from currently mid to high, the new target being high single digit growth. Our group EBITDA growth expectation is unchanged at high single digit. As is our CapEx intensity, which would remain at 13% to 14.5% of revenue. These targets are, on average, over the next three years based on prevailing economic conditions. These targets are not without challenges. Notably, the macro outlook remains uncertain with both global growth concerns and local factors. We do, however, anticipate that South Africa's service revenue trend will improve from the fourth quarter exit into 2025. Within our international segment, we expect regulatory reforms in Mozambique to meaningfully improve outlook for the asset through the course of 2025. Separately, our associate Safaricom also provided guidance on Kenya and Ethiopia, as well as their group. For FY 2025, Safaricom is guiding on another strong year for Kenya while Ethiopia continues to scale up its operations. At a group level, EBIT guidance implies high single-digit growth. On that note, I will conclude and thank you for your attention.
Shameel Joosub: Over three decades, we have built Vodacom Group into a purpose-led business with a footprint reaching 40% of Africa's population. We are a market leader across our markets with a unique opportunity to drive it through them. Our asset rich portfolio is another point of differentiation and we own the vast majority of our towers and mobile infrastructure. The combination of our connectivity and financial services scales means that we can constantly deliver returns above our cost of capital. Looking ahead, with these attributes in place, we will continue to execute on our System of Advantage to capture growth. We are hopeful that we can conclude the [indiscernible] message transaction this year, as it will accelerate fiber reach in South Africa, fostering economic development. We will also focus on accelerating the penetration of our existing connectivity services with new spectrum unlocking fixed wireless access opportunities. We are scaling our new device financing model. Across our digital ecosystem, we have growth opportunities ahead of us as we deepen financial inclusion and unlocking our customer growth potential. Transforming to a [indiscernible] will include the optimizing of our assets through sharing and to this end, we will aim to unlock benefits through partnerships in both rural coverage and fiber across our footprint. As we pull together the levers of our strategy we are now positioned to accelerate our growth profile and this is reflective in our guidance. Finally we will always prioritize our contribution to the societies in which we operate and our purpose-led ambitions. We will focus on increasing our female representation at management levels, reducing our greenhouse gas emissions across the footprint and driving financial inclusion. These targets are include in management's long-term incentives. We look forward to engaging with you over the coming weeks on our Investor Roadshow. This concludes my presentation. Thank you for your attention.
A - JP Davids: Good morning again. So, we are going to take a bit of Q&A. I do have some questions online, but is anyone in the room who would like to ask a question? [Nadim] (ph), I think I can see you through a very bright light on me.
Unidentified Analyst: Good morning. I don't know if I should say good morning or good afternoon because it's just a few minutes till afternoon. But just two questions from my side. Firstly, the thing that surprised me in this result was the deceleration in new services in South Africa in the fourth quarter. I think at half year, if I remember correctly, it was up 18% year-on-year. But for the full year, we ended up at about 11% year-on-year for South Africa. Would like to understand the substantial deceleration. It looks to me across the board, financial services, digital, IOT, I'm not too sure, but I would like some color on that. And then secondly, just on prepaid, which has been another tough quarter, down 0.1% year-on-year. Just like to understand, is there a bit of market share loss, seeing that your competitors are not facing as much load shedding? Are some of these strategies around price ups helping, and are you still seeing a lot of pressure in voice? Thank you very much.
JP Davids: Did you want to start on the new services?
Shameel Joosub: Sure. So I think what we have found is that, one of the impacts that we had during this year on new services was IoT. So one of the things that didn't grow as well was IoT, and that had to do with governments, basically RT, how do we put this, the tendering on services. What's happened towards the end of the year now going into the new year, that issue's been resolved. So that had a big impact on some of the new IoT services, especially our Mezzanine platforms and [indiscernible] we were selling into government. But that's now resolved and we now qualify and basically all nights open up so we can start supplying again. So that's putting a hand-porned growth. So that's the one thing that did affect the IoT services. On Airtime Advance it obviously tracks the performance of prepaid, so that didn't grow as strongly as it did in previous years, hence the 7.9% in financial service growth and not the double digit growth. So that was the big impact. And then of course, digital services had a very strong year and in some context, we also did a more rigid clean-up on some of the services, meaning that making sure there's double opt-ins, all of those type of things. So we keep doing that to make sure that we have proper growth in our digital services portfolio. So all of that contributed to slightly lower growth, but I think still a healthy growth rate for the year, just over 13% in the new services category. In terms of prepaid, basically no loss in market share. So I don't think we're losing share to anyone. In fact, if we look at over the year and even the last quarter, we have gained share slightly. So that's the one part. The second part is load shedding affects everybody. No one gets affected by less load shedding or more load shedding. I wish that was the case, but it's not. So I think everybody gets affected by load shedding. I think the entire industry was under pressure this year because of the higher levels of load shedding and the related costs that were associated that pushed up to our tech OpEx. And then of course, energy costs went up quite a bit as well. So, you know, we had energy contributes about 15% of the South African cost and that grew by 19%. So that weighed on to our cost profile. Going forward, of course, we plan to deal with that through the more for more price up strategy, which effectively we're implementing on contract and for the first time we're implementing on prepaid.
JP Davids: Any other questions in the room? Okay, I've got quite a few coming through online here. So, just kicking off with Rohit from Citi. He's got two, probably both for you, Shameel. Can you share what's driving the sequential decline in the SA contracts subscriber base in the final quarter of the year? And then please share what report of service revenue growth in Egypt was driven by the price increase that we have implemented?
Shameel Joosub: Yes, so I think -- se we did a little bit of cleanup as we normally do with contracts, so there isn't any change in training. I think it's better to look at contract over the full year and you'll see we've grown the base by 125,000, which is higher than anybody else in the market. So effectively the contract part has still got good growth and so on. So no issues. We normally do just a little bit of cleanup, look for basically what we have prepared on what we call [indiscernible] and we clean up some of those things periodically. So, I think still good contract growth and good contract growth in the customer base. In terms of the price increase, we put a price increase in Egypt through in January that accelerated the revenue from circa 30% to over 40% growth. And a lot of that has come from the price up itself, we had a 15% price up. But it also came from continued growth in the financial services part and enterprise, which continues to gain momentum. So there's some strong growth levers in the Egyptian numbers, specifically financial service and enterprise that continues to add to the growth. And then on top of that, of course, we've had the price up.
JP Davids: [Maddy] (ph) from HSBC has got a few, so I'll just bucket them into first three questions for you Shameel and then a question for you Raisibe. The first one, Maddy -- just talking firstly about that growth slowdown in South Africa in the fourth quarter, was trying to reconcile that to the price increases that we talked about, so the timing of that. Then he just had a detailed question on prepaid voice, which I see pops up later, so maybe I'll quickly take that. So pre-paid voice was actually fine, even a little bit better in the fourth quarter, down about 6%. There had been high single digits so that wasn't really the issue in the quarter. It was more the tough comparative with data, where we faced flattened periods of load shedding this time last year. So, Shameel, it's the [indiscernible] on price increases and then any more price hikes for Egypt that we can talk about looking forward?
Shameel Joosub: So I think on the price increases, the price increase only takes effect from 1st of April, so there's nothing of price increases in the [indiscernible] numbers in the fourth quarter, so it only came in from 1st April. And then the prepaid one is essentially over like a 2 to 2.5 month period because it needs to be done sequentially. So that's still ongoing. But the contract ones were implemented from 1st of April. In terms of further price ups in Egypt, we're pushing for more price ups. We're trying to link it towards more inflationary based price ups. But it will take some time. But essentially, we will continue to put four price ups in Egypt and we're confident we will get there just -- it takes a while.
JP Davids: Janet from Perpetua has a couple -- sorry, Raisibe, before I move to Janet, pardon me, Maddy had a question on the FX impact for Egypt. So he's asking, is there any sustained FX impact on EBITDA and earnings in Egypt, or is the FX impact one-off in nature?
Raisibe Morathi: So the FX impact was occasioned by the devaluation which took place on the 6th of March and as a result there's a one-off charge which is obviously relating to the adjustments on the waking capital. And that was roughly about ZAR1.6 billion. And then we also had circa ZAR400 million, which is the FX impact on the dividend that we repatriated. So, obviously, with the devaluation, the repatriation happens after the devaluation. So, altogether around ZAR2 billion of the FX impact of devaluation. The good news is the macros in Egypt are stabilizing. The Egypt is now full trading and we don't see any likelihood of a further devaluation in the next 12 months or so, or even further than that. I think things have a kind of stability. So, yes, I think it is a one off. And fortunately, the growth in the business has such strong momentum, but we have actually been able to grow despite that devaluation impact.
JP Davids: Which answers one of Janet's questions from Perpetua. She was asking for the currency outlook in Egypt, which I think you've covered. There's also two specific ones which I'll quickly take. At what rates did you repatriate the cash out of Egypt? And then the second one is, do you have any outstanding balances to be repatriated out of Egypt? So firstly, on the exchange rate that we repatriated at, that was at the prevailing rate after the de-val around 47 to the dollar. So that was at the screen price at the time, no deviation from that. And then have we got any money outstanding balances in Egypt? The answer is no. All the cash was -- all the dividends were repatriated to South Africa.
Raisibe Morathi: To give a bit more colour on that is that, Egypt as a country has actually caught up with the backlog. So they've paid -- they are sending supplier commitments as well as a dividend commitments. So now things are pretty much back to normal.
JP Davids: Good. Then just while we are on the theme of Egypt, Miran from [indiscernible] has -- says well done on the hard currency growth rate in Egypt this year, so he picked up on that euro net income growth and then I guess asking a trickier question, which is, can we expect the same for the coming year, another year of Euro growth?
Shameel Joosub: Yes, I think for us we've got strong momentum. I think what the price steps in, what the price flows in place, what the data growth, what the financial services growth that's happening, what the enterprise growth and also the health solutions growth and so on. We feel confident that we can still deliver or we will deliver very strong performance in Egypt and that will again deliver hard currency growth as well.
JP Davids: Perfect. Moving to I guess let's just stay with Egypt as a theme and then we'll switch back to other questions. We've got Royce from Obsidian just asking around inflation accounting, Raisibe, just saying, given the inflationary pressures in Egypt, what is the likelihood of having to do inflationary accounting or hyperinflation accounting for the Egyptian business going forward. It's also asked, what might this mean to your heaps? I think that one, good luck, but maybe answer in the two parts.
Raisibe Morathi: Sure, so the outlook for inflation in Egypt is looking like the inflation is running down. The last print was roughly about 30%, and we know that it peaked at 38%. Some of the economies are forecasting that inflation will be roughly about 22% by the end of the calendar year. So that trajectory reduces the likelihood of inflation accounting, because the definition of inflation accounting is that, cumulatively you have to be at 100% over a period of three years. So whilst we are in that zone, if the rate of inflation was not coming down, then I would say that risk would still be present. But I think that risk is actually behind us. Obviously, the final decision when it is taken, it takes into account the forward look. So if the trajectory that we see now continues, it is highly unlikely that the accounting bodies will rule for inflation accounting. So quite pleased about that.
JP Davids: Okay, switching markets. [indiscernible] has a question on Ethiopia losses. Maybe I'll just start with the answer and then hand over to you to you Raisibe for more thoughts. And he says the Ethiopia losses has picked up year-on-year, a roof full of ZAR500 million, or I think we called out on the slide, 21 cents per share. What portion of that relates to Vodacom itself, i.e. your direct stake? So, just a reminder, we own directly 5.7% in Ethiopia, and then the remainder of the exposure is through our associate, Safaricom. Broadly speaking, we own -- if you look at the effective holding of around 25% of Ethiopia, it's about one-fifth that's through Vodacom directly. So that should answer that question. I don't know if there's anything else you wanted to add?
Raisibe Morathi: Well covered.
JP Davids: Okay. Then we've got a question from Nicola from Business Report. She's asking a question on the [indiscernible], so one for you, Raisibe. The question is, what is the rationale of appealing all the way up to the constitutional court?
Raisibe Morathi: So we believe that there is a merit in really vigorously defending ourselves against this. I think we all know that this case has been going on for many years and we believe that a fair compensation should be done to close the matter. But of course, in the instance where we find ourselves with the [indiscernible] finding, there is merit for us to continue to appeal and take the legal fraternity to the levels where we can be able to settle this or close out this matter. So the appeal is really a commercial as well as a fairness consideration.
JP Davids: Then switching back to South Africa, Shameel, Jono from APSA has a couple of questions. Let me start with the first two. What are Vodacom's options for its fiber strategy, should the massive deal be blocked? And number two, what is the wholesale outlook -- pardon me, what is the outlook for wholesale revenue in South Africa?
Shameel Joosub: Yes. I think -- so let me start with the second one. In wholesale revenue there will be some pressure continuing into the new year and that's basically as we reprice the existing contract. So there will be some pressure from that into the new year. But I think it will be offset with the price ups in contract, the price ups in prepaid and essentially growth in the new services in the business itself.
JP Davids: So was it wholesale and then massive?
Shameel Joosub: On massive, I think where we are is that we're confident that we have a good case and the deal should go through and that the competition tribunal will see the logic of the transaction. I don't think we want to speculate what we will do if the deal doesn't get approved. But I mean, you can see that from an ISP perspective, we will continue to sell fiber and provide that service to our customers. As we will provide satellite services and so on to our customers as well, provide forms of connectivity. And you can see that, if you look at the overall result on fiber, you'll see we grew 18% so still a very strong growth in the fiber performance and that's mainly coming from reselling third-party fiber.
JP Davids: Perfect, then a follow-up from [indiscernible]. He wants to chat a bit about the Mozambique price rules that have been put in place there and he's asking what sort of price reforms have been put in place and if we can sort of provide a little bit of color on the price ups that were done for Mozambique in both voice and data?
Shameel Joosub: Sure. So we're about a week, week and a half in -- just over a week into the price ups. Effectively what's happened is we're seeing very good growth month on month, high teens growth in terms of the price up. So what's happened is that, the government has prescribed the price of basically of what you can sell voice and what you can sell data at. And so those adjustments have been put in. And so, I think that's quite positive. And so what we'll -- of course, as we gain more data on that, that will be shared in the one on ones and then of course will also be shared at the quarterly results where we would have had a good trend for a couple of weeks or months and we can share with you the uplift. But it will take -- mostly back into, so previously we would have mid-teens growth, 14% growth and we think it recovers back into that kind of trajectory going forward.
JP Davids: Okay. Raisibe a question from a question from Peter from Merger Market. He does note that we have an ZAR11 billion-odd of current debt. So what are the plans for that? And then I guess more broadly, he's asking how do we plan to deliver the balance sheet going forward?
Raisibe Morathi: So, our plan is to take opportunities where we are able to, within the realm of our capital allocation, pay off some of the debt and especially starting with the expensive debt. So the expensive debt is related to acquisitions. The ZAR11 billion that you're referring to is for acquisition of Egypt. And then there's also the contribution in the Ethiopian business. So both of those are -- because they are -- for acquisition of shares, they are not tax deductible. And that is what makes them expensive, not in terms of the rate that you pay to the banks. So we are looking at repaying those. And when opportunities open up to restructure that debt, we'll also do so. And the motivation for repackaging and changing our dividend policy from where we had 90% payout for the consolidated components and then passed through for Safaricom. One it was getting to be a bit confusing, especially when we now acquired Egypt. So we simplified that, but we also then reduced the payout rate to 75% and in part to allow us to be able to pay off some of the debt. So we're looking at opportunities going forward to start repaying that debt, obviously based on the profitability of all the different businesses. So I do think that in the three years or so, we should be able to start now seeing that delivery coming through.
JP Davids: Super. We've got one last question online, but I'll just check if there's anyone in the room with a final question. No, okay then. The last one from Alicia at Royal Buffer King Holdings. The first part of her question, I think Raisibe has already dealt with, which is, when you indicate the ease or challenge of cash repatriation from Egypt, and I think we've dealt with that and we're saying that the money is flowing without any issues. But the second one, perhaps Shameel, you can take and then just wrap up for us. Do you see any challenges coming out of Egypt from a regulatory front going forward?
Shameel Joosub: No, I think -- I think the -- of course, there will be the normal licensing of new spectrum and new licenses and so on. So I think that will come, especially, I suppose, 5G at some point. So those discussions, I think, will be there. In terms of regulated challenges, no. I think it's a very well-regulated market, and I think the price flaws and so on, and the way the market is managed is actually very encouraging because it gives rise to a continued investment cycle. And I think that's quite good in that respect. So, in conclusion, I think, thank you for joining us. Look, we've had a year where essentially we've taken a couple of big knocks, let's be honest. And those big knocks have come from over ZAR2 billion knocks from the devaluation impact from Egypt. So that was the one, of course, we've seen a big increase in interest rates. And so that's also impacted us. We had a deferred tax issue in Tanzania. So there's been a number of once-offs that would have given rise to a healthy growth if they not occurred. But I think underlying we're quite positive in terms of where we are. If you look at the four segments, I think Safaricom has shown strong potential growth this year and the momentum is continuing. So we see that continuing. Egypt is growing in the 40s in service revenue and with the devaluation behind us, we think that's strong growth and we're seeing very high growth. We grow over 107% in financial services in Egypt. We see that coming slightly down below 100%, but also growing very, very strongly in this coming year. So strong growth in Egypt and with the devaluation behind us, I think that gives us strong momentum. In the IB part, we've seen good growth this year in the DRC, which is in dollars, circa 8% growth, and that's a ZAR12 billion business. And so that business will continue to grow going forward. Tanzania is currently growing in the 20s, and that's a ZAR10 billion business. So I think that's also showing strong momentum going forward. Mozambique with the implementation of the price for a circa 7 billion-dollar business, and we think that will continue to grow strongly and then the [indiscernible] had a good year as well. That's about a ZAR1.3 billion business. So we see a stronger performance in international and this I think the price floors have definitely helped and will seek to do more of that. And then of course in South Africa, we think the price opts with the logic of give more value to the customer, but also put inflationary price increases through. So if you're putting the price up by 5% give 10%, 15% back to the customer. I think that methodology, one reduces the effective price by the customer, but it also helps us to navigate some of the challenges, specifically around inflation and so on. And then finally, I think as the interest rates seem to have peaked, and then, of course, we were poised to take advantage of that, should interest rates start to come down. So that should give all things considered, give rise to good, strong earnings growth going forward.
JP Davids: Super. Well, thank you everyone for joining us. Thank you for your support, and we look forward to engaging with you over the coming days and weeks.